Operator: Good morning and welcome to the Dominion Energy and Dominion Energy Midstream Partners Third Quarter Earnings Conference Call. At this time, each of your lines is in a listen-only mode. At the conclusion of today's presentation, we will open the floor for questions. Instructions will be given as to the procedure to follow, if you would like to ask a question. I would now like to turn the call over to Tom Hamlin, Vice President of Investor Relations and Financial Planning, for the Safe Harbor Statement. Sir, please begin.
Thomas E. Hamlin - Dominion Energy, Inc.: Good morning and welcome to the third quarter 2017 earnings conference call for Dominion Energy and Dominion Energy Midstream Partners. During this call, we will refer to certain schedules included in this morning's earnings releases and pages from our earnings release kit. Schedules in the earnings release kit are intended to answer the more detailed questions pertaining to operating statistics and accounting. Investor Relations will be available after the call for any clarification of these schedules. If you have not done so, I encourage you to visit the Investor Relations page on our websites, register for email alerts, and view our third quarter earnings documents. Our website addresses are dominionenergy.com and dominionenergymidstream.com. In addition to the earnings release kit, we have included a slide presentation on our website that will follow this morning's discussion. And now for the usual cautionary language; the earnings releases and other matters that will be discussed on the call today may contain forward-looking statements and estimates that are subject to various risks and uncertainties. Please refer to our SEC filings including our most recent Annual Reports on Form 10-K and our Quarterly Reports on Form 10-Q for a discussion of factors that may cause results to differ from management's projections, forecasts, estimates, and expectations. Also on this call, we will discuss some measures of our company's performance that differ from those recognized by GAAP. Reconciliation of our non-GAAP measures to the most directly comparable GAAP financial measures we are able to calculate and report are contained in the earnings release kit and Dominion Energy Midstream's press release. Joining us on the call this morning are our CEO, Tom Farrell; our CFO, Mark McGettrick; and other members of our management team. Mark will discuss our earnings results for the quarter and Dominion Energy's earnings guidance. Tom will review our operating and regulatory activities and review the progress we have made on our growth plans. I will now turn the call over to Mark McGettrick.
Mark F. McGettrick - Dominion Energy, Inc.: Good morning. Dominion Energy reported operating earnings of $1.04 per share for the third quarter of 2017; it was in the middle of our guidance range. Positive factors versus guidance for the quarter were lower interest expenses, income taxes, and operating expenses. Negative drivers include lower merchant power margins and continued mild weather. In fact, the negative earnings impact of mild weather across our electric and gas operations during the first three quarters of the year was $0.12 per share. GAAP earnings were $1.03 per share for the third quarter. The principal difference between GAAP and operating earnings for the quarter were charges related to our integration of Questar. A reconciliation of operating earnings to reported earnings can be found on Schedule 2 of the earnings release kit. Moving to results by operating segment, Power Delivery produced EBITDA of $441 million for the third quarter, which was in the middle of its guidance range. The impact of slightly mild weather was offset by lower operating expenses. EBITDA at Power Generation was $565 million (sic) [$865 million] (03:55) for the third quarter, which was below the middle of its guidance range. Lower PG and merchant margins were the principal negative driver, along with slightly mild weather. Partially offsetting these factors were lower operating and maintenance expenses. Gas Infrastructure produced EBITDA of $471 million for the third quarter, which is near the high end of its guidance range, primarily due to lower operating expenses. Overall, we are very pleased with results from all of our operating segments. For the third quarter of 2017, Dominion Energy Midstream Partners produced adjusted EBITDA of $76.2 million which was nearly three times the level produced in the third quarter of 2016. Distributable cash flow was $45.8 million, 90% higher than the level of last year's third quarter. The acquisition of Questar Pipeline in December of last year was the principal driver of the increase. On October 24, Dominion Energy Midstream board of directors declared a distribution of $0.3025 per common unit, payable on November 15. This distribution represents a 5% increase over last quarter's payment and is consistent with our 22% per year distribution growth rate plan. Our coverage ratio remains extremely strong at 1.28 times. Moving to treasury activities at Dominion Energy, cash flow from operating activities was $3.7 billion through the third quarter. We have $5.5 billion of credit facilities and taking into account cash, short-term investments, and commercial paper outstanding, we ended the quarter with available liquidity of $2.5 billion. For the status of our 2017 financings, please see slide 7; and for statements of cash flow and liquidity, please see pages 14 and 25 of the earnings release kit. Earlier this month, the partners in the Atlantic Coast Pipeline closed on a construction financing facility designed to fund roughly half of the costs to construct the pipeline. The first funding of $570 million took place last week to cover a portion of the costs incurred to-date. As to hedging, you can find our hedge positions on page 27 of the earnings release kit. We have hedged 98% of our expected 2017 production at Millstone, and have started hedging 2018 production, principally for the first quarter. We plan to limit our hedging of 2018 production until we see the outcome of legislation in Connecticut. Now, to earnings guidance at Dominion Energy. Operating earnings for the fourth quarter of 2017 are expected to be between $0.80 and $1 per share compared to operating earnings of $0.99 per share for the fourth quarter of 2016. Positive factors compared to last year's fourth quarter are earnings from our growth projects and the benefit from recently announced agreement between Dominion Products and Services and HomeServe USA. Negative factors for the fourth quarter compared to last year include a refueling outage at Millstone, lower import revenues from Cove Point, lower investment tax credits from solar projects, and higher PJM electric capacity expenses. Dominion Energy's operating earnings guidance for the full year of 2017 remains $3.40 to $3.90 per share. We remain confident that operating earnings for 2018 will increase by at least 10% over the $3.65 per share midpoint of this year's earnings guidance range, driven primarily by earnings from our Cove Point export facility which will be in service later this year. We also reiterate our expectation of a 6% to 8% EPS growth rate from 2017 through 2020, an EPS growth of at least 5% per year thereafter. So, let me summarize my financial review; third quarter operating earnings were $1.04 per share, landing in the middle of our guidance range despite continued mild weather. Fourth quarter operating earnings guidance is $0.80 to $1 per share, and 2018 operating earnings are expected to be at least 10% above the midpoint of our 2017 operating earnings guidance range. I'll now turn the call over to Tom Farrell.
Thomas F. Farrell II - Dominion Energy, Inc.: Good morning. Strong operational and safety performance continued at Dominion. All of our business units either met or exceeded their safety goals through the first nine months of the year. I'm pleased that our employees set an all-time low OSHA Recordable Rate of 0.66 last year and are on track to improve on that record this year. Our nuclear fleet continues to operate well. The net capacity factor of our six units through the end of the third quarter was over 96%. Weather-normalized electric sales for the first three quarters of the year were up 1.7% over the same period last year, led by growth in sales to data centers and residential customers. Year-to-date total new customer connects are in line with our expectations, and strong growth in commercial connections have offset slightly lower than expected growth in residential new connects. Through the third quarter, we have connected 11 new data centers compared to 7 for the first nine months of last year. Also during the quarter, our Gas Infrastructure group executed an amendment to an existing Marcellus farm-out agreement, locking in the remaining value under the agreement and securing payments totaling $130 million in 2017 and 2018. You will recall that in 2015 when we began discussing our farm-out program, we anticipated generating between $450 million and $500 million in earnings from farm-out transactions from 2015 through 2020. We are halfway through that timeline, and despite less than ideal commodity market conditions, we have already achieved nearly three-quarters of our objective. Last week, the Connecticut General Assembly approved legislation that will allow our Millstone nuclear plant the opportunity to compete with other non-emitting generating resources in a state-sponsored solicitation for zero-carbon electricity. On behalf of the 1,500 women and men working at Millstone Power Station, Dominion Energy thanks the General Assembly for giving Millstone this opportunity and is grateful to the Malloy administration for his work in negotiating the current form of the legislation. It provides a path forward to retain 1,500 well-paying jobs and Millstone's substantial environmental, energy, and economic benefits to Connecticut. Now, for an update on our growth plans; construction of the 1,588-megawatt Greensville County Combined Cycle Power Station continues on-time and on-budget. As of September 30, the $1.3 billion project was 60% complete. The air-cooled condenser is over 80% complete. All pipe rack modules have been set and pipe welding continues at a steady rate. Greensville is on schedule to achieve first fire in the second quarter of next year, and is expected to achieve commercial operations in late 2018. We have a number of solar projects under development, and continue to see demand for renewables from our customers. Year-to-date, six solar facilities totaling approximately 169 megawatts have achieved commercial operation. For all remaining 2017 projects, panel deliveries have been secured and the projects are on schedule for completion this quarter. In total, we have announced 457 megawatts that will go into service this year, and expect to add another 200 megawatts by the end of next year, increasing our gross operating portfolio from 1,660 megawatts to over 1,800 megawatts, of which 700 will be in Virginia and North Carolina. Earlier this month, we announced we will add solar generation to serve a new data center Facebook plans to build in Central Virginia. Pending State Corporation Commission approval, this need will be met with a new rate option, Schedule RF, which will allow large energy users to meet their needs through the addition of renewable energy resources. We are currently evaluating the potential for pump storage project in the coalfield region of Virginia. A preliminary permanent application has been filed with FERC, identifying a potential project site in Tazewell County, Virginia. We've also contracted with Virginia Tech to study the feasibility of using an abandoned coal mine in Wise County to construct a pump storage facility. The General Assembly has enacted legislation stating that construction of one or more new pump storage electric generating facilities in Southwest Virginia is in the public interest with costs recoverable through a rate rider. In July, we announced that we had signed an agreement with Ørsted, formerly DONG Energy of Denmark, a global leader in offshore wind development, to build two turbines off the coast of Virginia Beach. The two companies are now refining agreements for engineering, procurement, and construction. Dominion Energy will remain the sole owner of the project, which is targeted for completion in 2020. We plan to seek wider recovery for the project during the first half of next year. We have a number of electric transmission projects at various stages of regulatory approval and construction. Through the end of the third quarter, $419 million of assets have been placed into service. We plan to invest $800 million in our electric transmission business this year and every year thereafter for at least the next decade. Progress on our growth plan for Gas Infrastructure continues as well. Our Cove Point Liquefaction Project is now 97% complete and remains on-time and on-budget. Construction is essentially complete. All processes have been turned over for site commissioning and we have entered the final phase of start-up. We have completed the initial operating run on auxiliary reboilers, steam turbine generators, Frame 7EA combustion turbine, and numerous motors, pumps, and compressors that are part of the liquefaction process. FERC has approved the introduction of all hydrocarbons necessary to generate LNG. The operation's formal training is complete. We are fully staffed with trained and qualified operators. We will begin generating LNG next month, then conclude commissioning in December, and expect to be in service by the end of the year. We're continuing the work toward the commencement of construction on the Atlantic Coast Pipeline and the related Supply Header Project. On October 13, FERC issued its Certificate of Public Convenience and Necessity, and we filed our acceptance of the certificate the following week. The project has achieved several additional permitting milestones over the last few weeks, including the Biological Opinion from the U.S. Fish and Wildlife Service, approval of the Virginia Outdoor Foundation easements, and approval from the Virginia Department of Game and Inland Fisheries. ACP and Supply Header have essentially completed the design and engineering, executed the construction contracts, and completed 90% of materials procurement. We expect to commence construction late this year and to complete both the Atlantic Coast Pipeline and the Supply Header in the second half of 2019. We've also made progress on nine Gas Infrastructure growth projects representing over $1 billion of investment. Three of these projects have been completed this year, and we expect two more to be completed by year-end. In addition to these incremental projects, we plan to invest $325 million to $350 million per year in our three gas utilities as part of our ongoing pipeline replacement programs. These costs are recoverable through rate rider programs in all three jurisdictions. And in September, we announced a long-term investment program to modernize our Dominion Energy Transmission's pipeline and storage infrastructure. These investments will deliver operating reliability, security, safety, and environmental benefits, and are expected to total about $250 million per year. To support this investment program, we plan to file a rate case in the first half of next year, the first for this pipeline in over 20 years, in which we will request updated rates and establish a tracker for recovery of the modernization investments. Finally, earlier this month, Dominion Energy's board of directors declared a dividend of $0.77 per share for the fourth quarter of this year, an increase of 10% above the dividend paid in the fourth quarter of last year. The increase reflects the board's confidence in Dominion Energy's execution of its growth plan, and the enhanced cash flows made possible by our master limited partnership. Our plan is to share these benefits with our shareholders by growing our dividend at a 10% rate through at least 2020. So, to summarize, our business has delivered strong operating and safety performance in the third quarter. Construction of the Greensville County project is on-time and on-budget. Construction of the Cove Point Liquefaction Project is essentially complete, and commissioning is well underway to be in service late this year, on-time and on-budget. We received the FERC Certificate for Atlantic Coast Pipeline and Supply Header Project and will commence construction soon. And we expect earnings of at least 10% in 2018, driven by completion of the Cove Point Liquefaction Project, and 6% to 8% growth from 2017 to 2020. We further expect earnings per share growth of at least 5% per year thereafter, supported by a diverse set of growth programs. Because of our unique MLP structure, our superior cash flows will also allow a dividend growth rate at Dominion Energy of 10% per year through at least 2020. With that, we will be happy to take your questions.
Operator: Thank you. At this time, we will open the floor for questions. Our first question comes from Stephen Byrd of Morgan Stanley.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Hi. Good morning.
Thomas F. Farrell II - Dominion Energy, Inc.: Morning, Stephen.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: I wanted to follow-up on the progress in Connecticut. It's very good to see the legislative progress. I was reading, I guess, the budget that's available for renewable solicitations was reduced under the budget that the legislature has established. Can you speak to the implications? Is there – do you believe the Governor is likely to support this lower budget for renewables? How does that potentially impact the ability to get the needed dollars here to support the plant?
Thomas F. Farrell II - Dominion Energy, Inc.: Stephen, first, we're not going to comment any further on what's going on in Connecticut. The Governor has the budget and the Millstone legislation, and until we've gotten through that process, we're just going to remain – we'll see what happens. We'll have further comments after that has taken its course.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Yeah. Very much understood. And then just shifting over to the new $250 million a year of modernization. Would you mind just speaking a little bit further to the approval process, just the timeline? You mentioned when you'd be filing, but could you help us just understand how this might play out procedurally?
Diane G. Leopold - Dominion Energy, Inc.: Hi. This is Diane Leopold. So, we're looking to file probably towards the middle of next year and a typical process with FERC, we would expect to hear back in the course of anywhere in 6- to 12-month timeframe with the initial feedback from them, and we will begin to negotiate with the customers during that timeframe. In addition to the actual base rate, the rates for the base, we are filing for a modernization program and that will be going on simultaneously with the base rate.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Understood. And so, that customer negotiation process will essentially occur in tandem with the FERC process, is that fair to say?
Diane G. Leopold - Dominion Energy, Inc.: Yes.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Okay. That's all I had. Thank you very much.
Thomas F. Farrell II - Dominion Energy, Inc.: Thanks, Stephen.
Operator: Thank you. Our next question comes from Angie Storozynski from Macquarie.
Angie Storozynski - Macquarie Capital (USA), Inc.: Thank you. So, first, about the 2017 guidance. Did I hear right that you said that you expect to be at least at the midpoint, yet the weather has been a pretty meaningful drag year-to-date? So, what's the offset here to get to the midpoint of the guidance range?
Mark F. McGettrick - Dominion Energy, Inc.: Angie, I think what we said in the script – this is Mark – is that we expect to be at least 10% off the midpoint of the range for 2018.
Angie Storozynski - Macquarie Capital (USA), Inc.: Okay. And nothing about where within the 2017 EPS guidance range you will end up?
Mark F. McGettrick - Dominion Energy, Inc.: Well, what we showed in terms of the guidance on our slide is a range of $0.80 to $1. And if you take that, coupled with what our actual earnings were for the first three quarters, that would put you about at the $3.60 range which says that, if we can achieve that, we've made up $0.07 of the $0.12 worth of weather headwind that we're – have projected. And if we can get a little help with the weather the rest of this year or operating expenses, we may be able to make up more. But right now, we've guided to about $3.60 on the midpoint of the fourth quarter range.
Angie Storozynski - Macquarie Capital (USA), Inc.: Okay. Very good. Secondly, can you comment, any updated thoughts on the impact of the proposed tax reform on Dominion, especially given the more clarity on the deductibility of interest expense?
Mark F. McGettrick - Dominion Energy, Inc.: Angie, this is Mark. We want to see the House bill come out. We've been saying since first of the year, we think right now, everybody should assume we're net neutral. But if the interest deductibility is handled appropriately, we can certainly be a net positive on that, depending what the actual tax rate would be for corporations at the end of the day. But there's so many moving parts and we'd really like to hold off until we see the House bill, which I think is scheduled to come out November 1, and then we'll be able to talk more about that.
Angie Storozynski - Macquarie Capital (USA), Inc.: Very good. And my last question on Cove Point and DM. I understand that you don't need any drop downs into the MLP in order to get to the 22% growth in distribution. But the stock has been really strong DM, and the asset is – I mean, she's (25:06) starting operations probably within weeks. You have, in the past, done opportunistic drop downs. Would you consider it as well this time?
Mark F. McGettrick - Dominion Energy, Inc.: We would consider an early drop if DM continues to perform well and the unit performs well, which we fully expect. So, we will take advantage of the market conditions out there. We've only given the reference that we don't need a drop and actually we need very small drop until late 2018. But again, if market conditions continue to be good, we can drop at any time after the Cove Point comes online.
Angie Storozynski - Macquarie Capital (USA), Inc.: Yeah. Okay. Thank you. Thanks.
Operator: Thank you. Our next question comes from Michael Weinstein from Credit Suisse.
Michael Weinstein - Credit Suisse Securities (USA) LLC: Hi, guys.
Thomas F. Farrell II - Dominion Energy, Inc.: Morning.
Michael Weinstein - Credit Suisse Securities (USA) LLC: Good morning. Hey. How much of the surprise is the Connecticut legislation to you? Like, what do you think their chances of success are in getting it signed by the Governor, especially since I guess he was involved in the process of negotiating its final form?
Thomas F. Farrell II - Dominion Energy, Inc.: Well, there's two parts to that question. First part, how surprised are we? We weren't surprised. We've been working on it for two years and been deeply involved in it for that period of time. And as far as how the Governor is going to react to it, we're going to make no further comments on what goes on in Connecticut until we get on the other side of that process.
Michael Weinstein - Credit Suisse Securities (USA) LLC: What kind of – what would you be looking for in terms of trying – length of contract there and what kinds of factors would you be looking to see in advance before you decide how long a contract you would want to have from Millstone?
Thomas F. Farrell II - Dominion Energy, Inc.: We're just going to have to hold off on giving any further information on what the future of Millstone Power Station is and how it will play through under this auction until we get through this legislative process.
Michael Weinstein - Credit Suisse Securities (USA) LLC: Fair enough. All right. Thank you very much.
Thomas F. Farrell II - Dominion Energy, Inc.: Thank you.
Operator: Thank you. Our next question comes from Praful Mehta from Citigroup.
Praful Mehta - Citigroup Global Markets, Inc.: Thanks so much. Hi, guys.
Thomas F. Farrell II - Dominion Energy, Inc.: Good morning.
Praful Mehta - Citigroup Global Markets, Inc.: Good morning. So, I thought your growth story laid out through 2020 was pretty clear in terms of all these projects. I just wanted to understand the 5% that you've talked about post 2020, and you said a balanced mix. Could you just give some color on what are the factors driving the post-2020 growth? Any big projects you're considering or is there M&A involved in that as well?
Thomas F. Farrell II - Dominion Energy, Inc.: There's no M&A involved in that, and there aren't any big projects. I think if you look at the presentations we've made through these fall conferences, we lay out a more programmatic method of achieving that growth post 2020 in all aspects – all parts of the business. There's a lot of slides available on our website. I think they can take you through all that. Mark, do you want to add anything?
Mark F. McGettrick - Dominion Energy, Inc.: Yeah, Praful, we purposely wanted to get investors refocused on the core strength of Dominion's many businesses. And so, we have two great, large projects, obviously moving along with ACP and Cove Point. But the post 2020, I think if you look at the presentations we've made in conferences, you see very strong organic growth in all of our business lines which we think strongly support at least 5% growth going forward. And again, I would just encourage you to go ahead and take a look at that.
Praful Mehta - Citigroup Global Markets, Inc.: Understood. Thanks, guys. Will do.
Thomas F. Farrell II - Dominion Energy, Inc.: Thank you.
Praful Mehta - Citigroup Global Markets, Inc.: Sorry, just a second follow-up question on – I won't get into the Millstone side with Connecticut, but just on the DOE legislation, do you think – is there any impact of that on the process or how are you looking at the DOE support for base load? Do you think anything comes off that at all?
Thomas F. Farrell II - Dominion Energy, Inc.: Are you talking about the DOE letter to FERC initiating the rule-making?
Praful Mehta - Citigroup Global Markets, Inc.: Yes. That's right.
Thomas F. Farrell II - Dominion Energy, Inc.: It's going to be very interesting to see but – what happens, I mean we still only have three FERC commissioners and two more coming. So, I don't think we really have an idea. And I've read some comments by at least one of them who doesn't think we should – as he had put it, should be putting their finger on the scales of fuel sources. But they've reacted quickly. I don't want to predict how that's going to come out, but it certainly – Connecticut certainly hasn't been willing to depend on it.
Praful Mehta - Citigroup Global Markets, Inc.: Understood. Thanks, guys.
Thomas F. Farrell II - Dominion Energy, Inc.: Thank you.
Operator: Thank you. Our next question comes from Christopher Turnure of JPMorgan.
Christopher James Turnure - JPMorgan Securities LLC: Good morning. Back in September, in one of your slide decks, you laid out a CapEx plan of $3.7 billion to $4.2 billion per year. I wanted to confirm that that applies to the 2018 to 2020 period, and get a little bit of a better sense on timing of that CapEx, I guess, excluding Atlantic Coast. I think it's probably a fair assumption to say that the Power Delivery and Gas Infrastructure parts of that are pretty visible and pretty stable for the most of part, and that the Power Generation would be the lumpier part of it. Is that fair, and can you give us more detail on timing?
Mark F. McGettrick - Dominion Energy, Inc.: Yeah. Chris, it's Mark. I'm not sure that's exactly fair. I think on the Power Gen side for the next three years, they have a pretty clear plan on what they're going to do between solar, the license extension work for the two – for the nuclear plants in Virginia. And I would – if I had to model right now – because I know we owe you some exposure on this, but if I had to model it, I would just model it evenly over the three years, be pretty consistent, I think, and would be pretty consistent by business line. We also have highlighted a project on the pump storage side that we'll also be spending CapEx on in that period of time as well as well into the next decade in potentially offshore wind, certainly a smaller project with two turbines. So, we've highlighted that we'll be going through the approval process and we've highlighted some dollar figures around that. So, we've given quite a bit of disclosure, but we'll need to give a little more granularity, I think, by business line as we move into 2018, 2019, and 2020.
Christopher James Turnure - JPMorgan Securities LLC: Okay. That's helpful. And then I guess shifting to the balance sheet side of it, if we use that range of CapEx or maybe a midpoint as one part of the equation, add in your kind of known dividend growth through the end of this decade and drop down financing as well, at what point do you get comfortable with your balance sheet as having enough excess capacity to buy back shares?
Mark F. McGettrick - Dominion Energy, Inc.: Well, I think that'll depend on the size of drops we make into Dominion Midstream from Cove Point. We've made a commitment to agencies and investors and bondholders that we know we have too much leverage at the Holdco. We've done that by design, and we're going to use the DM drop down structure to delever the Holdco between now and the end of the decade down into 30% to 40% of the family of Dominion debt. And I think we can do that comfortably with drop downs into DM for the period with Cove Point and has the potential to buy back shares if that's the best use of those proceeds. We could buy back shares, we could also just invest in future growth that may come up that we kind of identified already. So, again, I think we have a lot of flexibility and we feel real comfortable about being able to execute on both sides between now and 2020.
Christopher James Turnure - JPMorgan Securities LLC: Okay. Great. Thanks, Mark.
Operator: Thank you. Our next question comes from Paul Ridzon from KeyBanc.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Good morning.
Thomas F. Farrell II - Dominion Energy, Inc.: Good morning.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Tom, you indicated you were more than three-quarters of the way in the farm-outs. Is there upside to that ultimate number?
Thomas F. Farrell II - Dominion Energy, Inc.: I wouldn't think so. I think we do expect to land on that $450 million to $500 million. It's just, I think, more will be more timing of when the farm-outs come in. But I wouldn't – I'd love to say yes, but I don't think that would be reasonable at this time, unless you see dramatic increase in commodity prices.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And you said you've hedged into 1Q of 2018 at Millstone. Can you tell us how much you've hedged?
Mark F. McGettrick - Dominion Energy, Inc.: We haven't disclosed how much we've hedged but we're working hard on hedging the first quarter. We will go into the year very highly hedged again based on our expectation of the timing of the Connecticut auction. But because that's certainly won't be, we don't believe, in the first quarter of next year, we elected to go ahead and starting hedging and have for some time the first quarter. Also, we will not be, Paul, disclosing hedged prices at Millstone because we will be in competitive auction for some load at Millstone, we certainly hope. And so, we historically have put a hedge price out, but going forward, for competitive reasons, we will not put a hedge price out.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Thank you for that. And what do you expect your solar tax credits to be for the full year?
Mark F. McGettrick - Dominion Energy, Inc.: Our solar tax credit is going to be about half what they were last year, about $0.26 a share.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: I thought we had a $0.31 pickup this quarter. Is there a timing issue there?
Mark F. McGettrick - Dominion Energy, Inc.: Those ITCs revolve around but I think the $0.26, we feel really good for year-end. And if you recall, I'll remind everybody, not only have we backed it down to half this year but on a going forward basis that you should think about a $0.10 range, plus or minus for ITCs going forward. So, we're kind of out the ITC business except for some unusual projects that might come up in Virginia and North Carolina.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Would you have a sense of the capital at the pump storage, or is it too early for that?
Paul D. Koonce - Dominion Energy, Inc.: Paul, this is Paul Koonce. It's really too early for that. I think we've said publicly, could be up to $2 billion, but it really is a site-specific number and we're just really not there yet.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Understood. Thank you very much.
Thomas F. Farrell II - Dominion Energy, Inc.: Thank you.
Operator: Thank you. Our next question comes from Jeremy Tonet from JPMorgan.
Jeremy Bryan Tonet - JPMorgan Securities LLC: Good morning.
Thomas F. Farrell II - Dominion Energy, Inc.: Good morning.
Jeremy Bryan Tonet - JPMorgan Securities LLC: I just wanted to follow-up on some of the projects that you laid out there, in particular Atlanta Coast Pipe, congrats on getting the FERC Certificate there. Was just wondering if you could provide a bit more color on the state-level side, as far as getting the permits and how you see that process progressing. It seems like there's been some noise out there, so want to see any thoughts that you could share.
Thomas F. Farrell II - Dominion Energy, Inc.: I'll give you a general answer and Diane can fill in any specific questions. We really, there's – we need water permits in West Virginia and North Carolina and Virginia. We expect all those by the middle part of December, as we're going through the process. It's a very typical process, lots of questions come from the regulators. We provide answers that makes them ask more questions, and we provide more answers. But we're coming to the end of that process, and we expect to have all those permits by the middle part of December and be underway. Diane, anything to add to that?
Diane G. Leopold - Dominion Energy, Inc.: No. That's right.
Thomas F. Farrell II - Dominion Energy, Inc.: Okay.
Jeremy Bryan Tonet - JPMorgan Securities LLC: Great. Thanks. And just thinking about the assets that sit at DM right now, I was wondering if you could provide any update as far as how the existing growth projects are progressing. I think there's some small ones there. And any thoughts for the MLP kind of taking on more organic growth initiatives at that level going forward?
Mark F. McGettrick - Dominion Energy, Inc.: Jeremy, this is Mark. The growth projects at DM right now are mainly focused on Carolina Gas Transmission. And they're the same as we've highlighted when we actually IPO-ed, they've been executed very well. We're going to bring the third one on this year – at the end of this year. We'll spend CapEx of about a little bit over $100 million on it, fully contracted. We look for really good future growth out of the Carolina business. We also look for very good future growth out of the Questar Pipeline for this calendar year. Most of the growth out of Questar that's been executed is really based on synergies of the merger, and we've been able to execute that at a very high level and, actually, we'll be able to produce at a higher level for the Questar Pipe than we anticipated early in the year for DM. So again, our goal over time is to get more assets into DM that can grow organically. But quite honestly, for the next three years, that will be dwarfed by the Cove Point drop down.
Jeremy Bryan Tonet - JPMorgan Securities LLC: That makes sense. Turning to Cove a bit more here. It seems like there's a bit of open capacity, if I have my numbers right, with regards to how much you contracted out and what the full capacity of the facility could be. And just wondering how you think about the extra capacity; if everything hits kind of nameplate or exceeds, would you look to contract that out? How do you think about the value there and the state of the LNG market? And how might that play into the MLP drop down economics?
Thomas F. Farrell II - Dominion Energy, Inc.: Good question. But the way that – our shippers get to take up whatever excess capacity there is.
Jeremy Bryan Tonet - JPMorgan Securities LLC: Great. That's all from me. Thanks.
Thomas F. Farrell II - Dominion Energy, Inc.: Thank you. I'm talking about our existing shippers obviously.
Operator: Thank you. Our next question comes from Paul Patterson from Glenrock Associates.
Paul Patterson - Glenrock Associates LLC: Good morning. How are you?
Thomas F. Farrell II - Dominion Energy, Inc.: Hey, Paul.
Paul Patterson - Glenrock Associates LLC: It's been some time since I dealt with a pipeline rate case. Could you guys give a little bit of feeling about what the ROE that you guys are earning at DETI and what you might be asking for in terms of the ROE and what have you?
Diane G. Leopold - Dominion Energy, Inc.: Hi. This Diane Leopold. You can really look to the last filed rate cases that are out there for any kind of guidance on that. We're not going to talk about the actual ROE that we earn right now. But we are very comfortable that we've been investing in the system and now is the right time to be going in for a rate case.
Paul Patterson - Glenrock Associates LLC: Okay. What's the actual asset value that we're talking about, the rate base, I guess, that we're talking about?
Diane G. Leopold - Dominion Energy, Inc.: It's about $2 billion.
Paul Patterson - Glenrock Associates LLC: Okay. And you're not going to give us right now a sense as to what you guys are earning or we'll just have to wait for the filing, I guess, is that right?
Diane G. Leopold - Dominion Energy, Inc.: That is correct.
Paul Patterson - Glenrock Associates LLC: Okay. And then the Dominion Products and Services agreement with HomeServe, could you give us a sense as to – just elaborate a little bit on that in terms of what's the earnings impact associated with that and what's actually going on?
Mark F. McGettrick - Dominion Energy, Inc.: Hey, Paul. This is Mark. This structure with HomeServe, very similar to other utilities that you'd be familiar with. They are partnered with Duke. They're partnered with NextEra. They're partnered with AEP. They're partnered with FirstEnergy. And the structure essentially is that you jointly market to customers that – using a joint marketing of Dominion Energy and HomeServe. And so it's a pretty common structure. The way it'll work for us is, over time, starting in the fourth quarter of this year, the existing business we have, which only contributes for us about $0.01 or $0.02 a year, but it's been a very stable good growth business for us, but yeah a small level, we will start transitioning that Product and Service customer base to HomeServe, for them to service and grow from there. That'll take some time to do. And from then on, we will get a commission-based fee as they grow that business going forward. They are the major player in this market. And so, they were very interested in acquiring our customer base there for Products and Services. It was a good deal for us, but in terms of the earnings component, I'm going to hint a little bit on that only because it hasn't closed yet and there will be some movement year-to-year from this year to next year based on the closing and consents but it is in our guidance for the fourth quarter, and we'll be able to talk more about that because we'll have closed the transaction by the next call.
Paul Patterson - Glenrock Associates LLC: Okay. So, it's transactional-related and it's probably pretty much just a fourth quarter event? Can you give us the...
Mark F. McGettrick - Dominion Energy, Inc.: No. It'll be more than just a fourth quarter event.
Paul Patterson - Glenrock Associates LLC: Okay. So, it's an ongoing event?
Mark F. McGettrick - Dominion Energy, Inc.: That's right.
Paul Patterson - Glenrock Associates LLC: Okay. But you're not going to tell us the full amount? But it's significant enough for you to call it out for the fourth quarter? Is that the right way to think about it?
Mark F. McGettrick - Dominion Energy, Inc.: Yeah. I think it's the right way to think about it. I mean, we announced it publicly, and we wanted to make sure everybody knew what's in our guidance, but it won't be just a fourth quarter event; it'll be a multi-year event and then some with commissions.
Paul Patterson - Glenrock Associates LLC: Okay. Thanks so much, guys.
Thomas F. Farrell II - Dominion Energy, Inc.: Thank you.
Operator: Thank you. This concludes this morning's conference call. You may now disconnect your line and enjoy your day. Have a great day.